Operator: Good day, and welcome to the TrueCar Fourth Quarter 2022 Financial Results Conference Call. Please note that this event is being recorded. I would now like to turn the conference over, Zaineb Bokhari, Vice President, Investor Relations. Please go ahead.
Zaineb Bokhari: Thank you, Nick. Hello, and welcome to TrueCar's Fourth Quarter 2022 Earnings Conference Call. Joining me today are Mike Darrow, our President and Chief Executive Officer; Jantoon Reigersman, our Chief Financial Officer; and Teresa Luong, our Chief Financial Officer. By now, I hope you've all had the opportunity to read our fourth quarter stockholder letter, which was released yesterday after market close and is available on our Investor Relations website at ir.truecar.com. Before we get started, I want to remind you that we will be making forward-looking statements on this call. These forward-looking statements can be identified by the use of words such as believe, expect, plan, target, anticipate, become, seek, will, intend, confident and similar expressions and are not and should not be relied on as guarantees of future performance or results. Actual results could differ materially from those contemplated by our forward-looking statements. We caution you to review the Risk Factors section of our annual report on Form 10-K, our quarterly reports on Form 10-Q and our other reports and filings with the Securities and Exchange Commission for a discussion of the factors that could cause our results to differ materially. The forward-looking statements we make on this call are based on information available to us as of today's date, and we disclaim any obligation to update any forward-looking statements, except as required by law. In addition, we will also discuss certain GAAP and non-GAAP financial measures. Reconciliations of all non-GAAP measures to the most directly comparable GAAP measures are set forth in the Investor Relations section of our website at ir.truecar.com. The non-GAAP financial measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with GAAP. With that, I will turn the call over to TrueCar's President and Chief Executive Officer, Mike Darrow, for some opening comments. Mike?
Mike Darrow: Thanks, Zaineb. Good morning, everyone, and thanks for joining us. We highlighted some of the great progress we've made across our company in our fourth quarter stockholder letter. We also shared some of the exciting personnel enhancements we made to align around our key business priorities in 2023. We continue to refine our product experience and align our resources around delivering the automotive industry's first True modern day marketplace for new certified pre-owned and used vehicles. As we look ahead, we have four key priorities for 2023 to rebuild our core business, expand the market footprint for TrueCar+, lean into the used vehicle market and focus our marketing on converting our healthy top-of-funnel traffic into sales for our dealers. These priorities are strategic for us and are informed by what we're seeing in the market today and what we heard from our dealer partners at NADA. We're confident that our efforts throughout 2022 have provided a solid foundation to execute towards these priorities in the coming year. To embrace the opportunities we identified for 2023, we organized our senior leader -- we reorganized our senior leadership team and added essential new hires to ensure the successful execution against these key priorities in 2023. Two of those leaders are here with me today, so I'll address them first. Jantoon, who previously held the role of both Chief Financial Officer and Chief Operating Officer, has become our COO in a dedicated role that initially will focus on rebuilding our core business and on the rollout and adoption of TrueCar+. In addition to our market planning -- our marketing plan to aggressively pursue conversion of our robust top-of-funnel traffic. We've also developed plans to add additional operating departments under Jantoon beginning in Q2. Jantoon has demonstrated that he is an effective leader and his influence over the operating functions will help ensure that our entire company remains focused on innovation that will be quickly scaled to deliver value to dealers and consumers. I'm excited to announce that we promoted Teresa Luong to Chief Financial Officer from SVP of Financing, recognizing her extensive knowledge of our company and her leadership in the many critical roles she had played since joining TrueCar in 2014, which include helping to take the company public, overseeing financial reporting, technical accounting, tax, forecasting and business planning. Congratulations, Teresa. In December, we hired Jay Nieman to lead our field sales team as our Head of Sales. Jay has a proven track record in managing field sales and operations team and has quickly become a hands-on leader for the sales organization. Jay will report to Jantoon and will lead our efforts to rebuild our core dealer network and expand our TrueCar+ footprint. We also recently hired Jay Ku as our first Chief Commerce Officer, created role to achieve will bring his extensive experience in full funnel marketing and conversion. In this capacity, Jay will be responsible for scaling the TrueCar brand across multiple channels and helping us convert the millions of monthly unique visitors into sales for our dealers. Jay will report to Jantoon. At this point, I'd like to turn it over to Jantoon for an operating update.
Jantoon Reigersman: Thanks, Mike. During Q4, we continue to see the supply of new vehicles rise across the industry. This is an encouraging start. But since this recovery is from a very low base, much more progress is needed in the quarters ahead. Vehicle affordability is still a concern for many consumers who are struggling to manage their monthly payments while interest rates continue to tick higher. This has continued to pressure our close rates, and we believe it will be several months before we return to a more balanced environment across our industry. That dealer counts for our core leads based business increased during Q4, driven by growth in franchise dealers. During Q4, dealers had left our platform when new vehicle inventories were in decline started to return. We saw some attrition amongst independent dealers in Q4 and in light of softening demand and other dynamics impacting the used side of the market. We expect some churn in independent dealers in the coming quarters. Despite these near-term issues, we remain firmly committed to the used side of the market. Wherever we travel across the country, dealers tell us that they need more and more used cars. It is clear to us that the limited availability of new vehicles over the past few years is creating some scarcity, particularly for one to three-year-old vehicles, and we intend to step-up efforts to help our dealers source used vehicles. During the fourth quarter, we continued to enhance our TrueCar+ marketplace. We upgraded our TC+ credit offering and expanded our coverage of auto lenders from fewer than 15, sorry, fewer than 50 to more than 1,500 lenders nationwide by replacing a third-party provider with our own credit engine. This is a huge feed by the team. As a result of this upgrade, TC+ dealers can easily find and configure their preferred lenders, which makes on boarding new dealers much simpler and may potentially support higher approval rates for consumers with a broader group of preferred lenders available for each dealer. Additionally, we more than doubled the size of our accessories catalog in TC+, which let dealers offer a broad-based, broad set of accessories throughout our marketplace and also help simplify the dealer on boarding process. In addition to the great dealer consumer factory upgrades, we modernized our entire cloud infrastructure, an upgrade that will allow us to reduce costs while increasing our development speed and flexibility to respond to change. We also launched our AI recommendation engine, which will be used to power some of the exciting new features planned in the near-term, product road map for both TC+ and our core business. After establishing a solid foundation in Florida, we announced the expansion of TC+ into five additional Southeastern states throughout Q4 and have either signed up dealers or are in the on boarding process with them in each of these states. It is important to note that as we expand our footprint for TC+, we intend to focus on adding digitally forward dealers to our marketplace and help them broaden their market reach and impact to drive higher sales. The dealer network for TC+ will therefore be much more curated than our leads business and will be mostly focused on inventory. We're also launching -- we've also launched a new subscription packages for 2023 that are aligned to the value that our products can deliver to our dealers. Over the course of '23, we plan to move away from the legacy pay-per-sale model and focus on growing monthly recurring revenue. We're also committed as ever to helping our dealers grow their unit volumes, especially as the market starts to shift from a purely supply-driven market to one where demand generation and a robust digital presence will increasingly be important. I'll give -- I'll turn it back to our CEO, Mike.
Mike Darrow: Thanks, Jantoon. There are many other areas where we're making strong progress that we'll continue to share with you over the coming year. I'll touch on a couple of significant examples that demonstrate the resurgence of the TrueCar brand in the affinity and OEM space. We launched a new partnership agreement with NerdWallet, a leader in the personal finance space with approximately 20 million monthly unique users of their sites for education, insights and information about life's financial decisions. We believe this program will help bolster brand awareness for TrueCar and TrueCar+ is set to be active on the partner site at launch. We also expect to significantly expand our OEM program with Mercedes-Benz on March 1. This program and expansion will provide targeted Mercedes-Benz offers to some of our most robust affinity platforms. We're excited to combine the power of a world-class automotive brand like Mercedes-Benz, with the membership and purchasing power of our exclusive affinity network. Our balance sheet remains healthy, and we believe our cost structure is in a good place. We're encouraged by the signs that new vehicle inventories are starting to rebuild. We will not be providing detailed guidance on this call. However, based on our current plan, we expect to achieve double-digit year-over-year revenue growth and return to breakeven or positive EBITDA by the fourth quarter of 2023. I'm very encouraged by our progress during the fourth quarter and in the weeks that have followed. I wanted to thank the entire TrueCar crew for their hard work, dedication and commitment to our vision of bringing something new and unique to the market and doing at a time of rapid change as we embrace what we expect to be increasingly digital future for automotive retail. Before we open the call -- before we open the call for live questions, we're going to address some questions around key topics. Zaineb, what's the first question?
Zaineb Bokhari: Thanks, Mike. The first question is for you. We've highlighted several updates to TrueCar+ in the stockholder letter, including an updated credit experience and an expanded accessories catalog. Can you explain why these are important within the overall product flow for TrueCar+ and what is next?
Mike Darrow: Thanks, Zaineb. We greatly improved the dealer and consumer experience at TrueCar+ during the fourth quarter in a number of ways. First, we expanded the number of lenders that dealers can access within our marketplace from just under 50 lenders to more than 1,500. This is an important upgrade for several reasons. First, dealers will be able to provide vehicle shoppers access to a broader set of their preferred lenders. Second, consumers applying for credit will now have more options and more of them may be able to get financing now that the selection of auto lenders is much wider, some in a matter of a few minutes. Third, as we expand TrueCar+ into additional markets and bring dealers onto our platform, on boarding these dealers becomes easier since we'll have integration with many, if not all, of their preferred lenders. Strategically, we shifted a key capability from a third-party to our own in-house credit engine. This gives us a lot of flexibility to continue to customize the offerings and also opens up our marketplace to lender partners. We've done something similar with accessories and protection products, an important and lucrative revenue stream for dealers, more than doubling the catalog of approximately 28,000 multi-brand parts and accessories and protection products across all major OEMs from when we launched in October. This means that dealers can find and bring the accessories that they want to sell on TrueCar+ quickly and consumers can customize their desired vehicles. With these updates, the flow within TrueCar+ now allows vehicle shoppers to find their car, get full credit approval from a dealer's preferred lending partners and customize their desired vehicle by adding accessories and some products offered by the dealer. In the first quarter of 2023, we plan to enable an order confirmation that will effectively represent the fully baked deal on the dealership's terms, using financing from a dealership preferred lenders and the accessories and protections plans they want to sell, after which the deal will be ready for review and fulfillment. Zaineb, back to you.
Zaineb Bokhari: Thank you, Mike. I'll direct the next question to Jantoon. Jantoon, how do the new subscription packages compared to our past ones? And how are dealers reacting to this change?
Jantoon Reigersman: Yes. Thanks, Zaineb. As Mike mentioned, we've made significant investments in product and technology over the past year to develop and launch exciting new offerings for both new and used vehicles. As a result of this, we started 2023 with an expanded set of products to take to our dealers. We've demonstrated that our TC+ marketplace attracts high-intent profitable shoppers. TrueCar+ dealers have seen 2x to 3x improvements in close rates and a 65% reduction in days to close. In 2022, approximately 1,290 consumers applied for credit and received lender approval through the TC+ platform. Additionally, during the fourth quarter, TC+ shoppers with the dealer-approved reservation who added at least one protection plan or accessory to their vehicle added on average 4,700 worth of optional plans or accessories. These are measures that we believe dealers will be very excited about to hear. At the start of the year, we launched three new subscription-based packages that we believe are aligned to the value our solutions offer dealers. The new plans include three tiers that encompasses our lead-based business, auto buying solution, a regional plan and TrueCar+. In addition to this, dealers have the ability to customize their chosen packages with add-on services and to select their desired levels of market exposure and reach. We believe the new structure offers the flexibility for dealers to choose the package that best serves their needs. We are as committed as ever to helping dealers grow their unit volumes, but we shift towards a subscription model across our overall business, where we will focus on growing our monthly recurring revenue across our dealers. During the course of this year, we'll be moving away from the legacy pay-per-sale model. Many of our dealers are already on our subscription model, so we don't anticipate much disruption from the new packages. We have begun signing up dealers at the higher MRR. However, it is early days and as dealers adjust to the new subscription pricing, we may see some migration in our turnover. And what we've seen thus far has been within our expectations. What's that the next question?
Zaineb Bokhari: Thank you. The next question is for Teresa, our Chief Financial Officer who I want to congratulate and welcome to the call. Teresa, can you explain what drivers will help TrueCar achieve double-digit revenue growth and return to breakeven or positive adjusted EBITDA by the fourth quarter of 2023. And secondly, what could the revenue cadence look like?
Teresa Luong: Thanks, Zaineb, for the warm welcome. It's great to be here. So, when we think about drivers, I'll point back to what Mike highlighted earlier in his remarks. Our priorities for 2023, which are, to rebuild a core business, expand our market footprint for TrueCar+, lean into the used vehicle market and to increase traffic conversion. These priorities are the operational roadmap that we think will help drive growth for our business and opportunities for monetization in the coming year as new vehicle inventory start to rebuild. So for our core business, we plan to rebuild our core dealer network throughout this year as new vehicle inventories start to recover. There are still headwinds as we noted with independent and affordability concerns for our consumers, but this is a definite priority for us. In regards to TrueCar+, we've also started monetizing at the beginning of the year and introduce new subscription packages for our other solutions as well. We'll look to broaden our footprint for TrueCar+ with digital for dealers who are looking for innovation and committed to the digital channel. As we expand the number of markets that we are in, we expect to expand and monetization opportunities available to us and grow revenue contribution from TrueCar+. Now in regards to the used vehicle market, we've talked about how dealers consistently tell us that they want to buy more used cars. Despite the near-term issue in the used car market, the longer-term repercussions from supply changes for new cars will lead to scarcity and used cars, particularly in a desirable one to three year old vehicle category. For this reason, we are leaning into used cars with a focus on helping dealers source these vehicles. We plan to shift to a new offering for trade-in and vehicle sourcing that we expect to broaden our monetization opportunities once it is launched. On the fourth point of traffic, we have continued to see sustained strength in our monthly unique visitors and are focusing on improving conversion across the traffic that we are already driving to our site to both raise consumer awareness of TrueCar+ and convert our existing healthy top-of-funnel into unit volumes for our dealers. As Mike had noted earlier, we have realigned our senior team and added key hires to ensure that we execute on these priorities this year. And finally, with respect to revenue cadence. Recoveries are really linear and there are enough crop front still present that could make this choppy in the near term. Assuming macro trends continue to recover steadily and we don't end up in an economic downturn, we expect the second half to be better than the first half since we expect new vehicle supply improvement to broaden and also expect to have a broader market footprint at TrueCar+. What's the next question, Zaineb?
Zaineb Bokhari: Thank you, Teresa. Our final question before we open up the line is for both Mike and Jantoon. First, Mike, you mentioned that bringing dealers back to the TrueCar platform is a priority for 2023. But given our expectations for some churn with independent dealers, what do you expect for TrueCar dealer counts? And secondly, for Jantoon. If TrueCar+ dealer group is more curated, what should we be looking to gauge our progress there?
Mike Darrow: Thanks, Zaineb. I'll go first on this one. New vehicle inventories are rebuilding, but the gains are still somewhat concentrated by OEM and brand and well below typical inventory levels for the industry, so we're not out of the woods yet. Traditionally, new vehicles have been our area of strength for TrueCar. So our teams are out in the field, reaching out to both new franchise dealers and new dealers who turned us off when inventories were low and going to the market with a portfolio of great solutions for both new and used vehicles. Our franchise dealer count rebounded in Q4. On the used vehicle side, we expect unfavorable market conditions to create some pressure on dealers' gross margins per unit. As a result, we saw some attrition for independent dealers in Q4 and expect some additional churn in months ahead for independent dealers who only focus on used vehicles. We operate a full marketplace that includes small, privately owned independent dealers, large public dealerships, and vertically integrated digital operators that focus on the used vehicle market, like Carvana. Some smaller independent dealers may go out of business, while others will be acquired by larger dealers. Many will employ expense-saving measures to conserve cash until conditions stabilize. We're already starting to see some of this take place. However, we remain committed to the used vehicle market and see many opportunities ahead to help dealer's source vehicles and grow their sales volume. Bringing the dealers back to our truecar.com to our core truecar.com offering is one of our priorities in 2023, but we are early in the recovery for new vehicle inventory. And given the economic backdrop, we think there may be some choppiness in the months ahead. We are providing targets or expectations for dealer counts across our core truecar.com business. However, we have more balance to return to the market as 2023 progresses further and the recovery broadens. We expect our core business to benefit as that happens. Jantoon, why don't you take -- why don't you cover the TrueCar+ part?
Jantoon Reigersman: Absolutely, and I'll keep it short. We expect our TrueCar+ dealers to be more of a curated group. Remember, TrueCar+ is best suited for digitally forward dealers. We're committed to the digital channel to increase their sales and expand our market reach. For the core business and our lead business model, dealer density and [indiscernible] are an important factor. While for TrueCar+, it's much more about having the right inventory for national coverage. So our new subscription plans encompasses both our core TruCar [ph] offering and TrueCar+, so signing up dealers to our elite package is one indicator for TrueCar+, it is important. Growing sales volumes for dealers and driving MRR higher will be some of the indicators of our progress. Zaineb?
Zaineb Bokhari: Thank you, Mike, Jantoon, and Teresa. Now operator, let's open up the call for questions from the audience.
Operator: Thank you. We'll now begin the question-and-answer session. [Operator Instructions]. First question will be from Rajat Gupta, JPMorgan. Please go ahead.
Rajat Gupta: Great. Thanks for taking the question. I just wanted to follow-up on some of the commentary around the dealer churn that you're seeing after launching the subscription packages. Are you able to put some numbers around that on what you're already seeing since these packages have been launched, including like what the monetization has been for those packages? If you could just help us with that. What's governing your 2023 guidance in terms of dealer count and just like monthly dealer revenue or how we want to look at it in terms of metrics going forward? Thanks.
Mike Darrow: Thanks, Rajat. So there's little guidance to give so far. Remember, we've started the new packages as of January 1. So we're now effectively what six or seven weeks in. The -- what has been very positive is that there is an understanding by the dealer base of the broader value we provide. There obviously is some churn related to that, especially with some smaller dealers that are saying, hey, let's see whether they can do this ourselves or if you're an independent smaller use player, now you're struggling a little bit more on your P&L side. There's also obviously a lot of movements happening in the marketplace. There's consolidation happening. A good example of a player that came off our platform was tread, right, acquired by COGs. And so as a result, it will not participate in our program anymore. So those are -- there's a little bit of give and take. Overarching though, we've been successful in getting the revenue up. Really, if you remember, we've not increased our prices in any shape or form for a long period of time. And so really moving from a pay-per-sale model to a much more value-based selling approach is key. This is not about just giving a single lead. This is about giving the opportunity to really to be a subscriber to a large value set that we provide. One example of that is, for example, the delivery aspect, right? So we now provide dealers to actually have deliver even on non-TrueCar deals that we can provide for them. The other one is obviously, right, so the offerings that we said around the accessories, the prioritization on TC+ around the accessories, their captive lenders, et cetera, et cetera. So there's a lot of value that we can subscribe to the dealers. It's too early to really give big indications. But overarching, I think we're trending nicely, and we're happy with where the numbers are so far.
Rajat Gupta: Got it. And so as this churn occurs or started to occur, is the monthly revenue per dealer already starting to pick up with those packages? Or is that something you would expect to blend over time? I'm just curious like what's the new algorithm to look for in terms of growth?
Mike Darrow: Absolutely. It will be the latter. It will be -- it will -- because this is a transition we'll do over the course of the year. So this is not something that you'll see immediately pick up over the course of the next quarter or two. This is much more something that we'll do gradually over the course of the year, especially as we're focusing initially mostly on the pay-per-sale side and then start moving into the subscription states. And then obviously, any new dealer coming on to the platform will be on the new package, but we're slowly but surely transiting legacy dealers onto the new system. And so this will take some time. So don't expect any immediate upticks, but obviously, over the course of the year, this will start having a greater impact.
Rajat Gupta: Got it. So the unit guidance, the revenue guidance is more driven by like just traffic more than like just the monetization piece. Is that fair in 2023…?
Mike Darrow: Yes. It's fair. It's obviously an expectation that inventory will start building up and conversion rates will start improving. It's obviously opportunities around other revenue sources as well, but it's also overarching monetization improving vis-a-vis the end of the year. So -- but overarching, yes, it's units driven as well as other revenue sources.
Rajat Gupta: Got it. And lastly, I might have missed this on the call, but you're reiterating the $125 million -- greater than $125 million cash guidance for the end of the year?
Mike Darrow: Yes, and -- the answer is yes. But obviously, I'll caveat that all day long with saying that, right, if there are opportunities to do attractive buybacks, et cetera. So yes, 125 absolutely in the ordinary course of business. But if there are attractive M&A opportunities or buyback opportunities, there are those type of things and definitely we'll execute upon those. So -- but the -- I think what's important for people to realize that we have a strong balance sheet, we'll continue to keep a strong balance sheet. So the $125 million is a good marker to have, but it's not written in stone.
Rajat Gupta: Got it. Great. Thanks for all the color. I'll jump back in the queue.
Operator: Thank you. Next question will be from Chris Pierce of Needham. Please go ahead.
Chris Pierce: Hey, good morning everybody. I just wanted to get a sense. You kind of talked about building out the teams and kind of some hires as you launched TrueCar+. I wonder you guys see how we should think about on the path of OpEx in 2023 as you reiterate exiting the year positive or breakeven adjusted EBITDA? Thanks.
Mike Darrow: Yes. I'll take that for now, and then I'll have the anticipation of -- and then Teresa can take them going forward. But the -- so remember that we've said last time as well is OpEx is fairly stable for us. We're very focused on making sure that we keep OpEx under control. Remember, there are three large buckets on the operating side, it's human capital, right, it's marketing expense and then it's effectively our overhead charge. If you think of marketing expense, it's two buckets, partner and then it's effectively performance marketing. So the variable that we can play with very easily is obviously performance marketing. We've articulated clearly last time that we want to focus on conversion as a key theme for '23. We have a lot of unique coming to our site. So conversion is key. Adding another unique is not necessarily as valuable. And so conversion is key, which is obviously one of the great things of having Jay Ku come onboard. But so overarching the OpEx side, I think you can assume to be relatively flat, slightly increasing in the sense that we're looking at opportunities around dealer sourcing used vehicles, and we're doing some really interesting initiatives there, which will have some initial start-up costs associated with that. But I would argue, and yes, you could probably anticipate a slightly increased headcount costs. But overarching, OpEx is something that we want to keep reasonably flat for the course of the year. And so just keep that in the back of your mind, which I think makes also the molding a little bit easier.
Chris Pierce: Thank you very much.
Operator: Next question from Steve Dyer, Craig-Hallum Capital Group. Please go ahead.
Unidentified Analyst: Good morning. Ryan on for Steve. Just one for us. Curious following AutoNation's investment in November. Have there been any changes in the operational partnership there?
Mike Darrow: Ryan, thanks for the question. We continue to pay close attention to AutoNation. They're one of our biggest partners. We have ongoing dialogues with them. And I think we'll continue to work to make sure that their investment emphasizes where we believe we sit in the leadership position on digital retailing, and we'll continue to work with them to advance those opportunities. They have many of the same needs, all dealers have an acquiring used vehicles. So we're working with them to stay coordinated on all of our initiatives for 2023, and that partnership will continue to grow.
Unidentified Analyst: Maybe just a follow-up. Are they one of the TrueCar+ customers?
Mike Darrow: They are not yet, and that is really about timing because you want to make sure you get the right people on. So if you think about AutoNation over time, -- there are really several pillars upon which we can have really interesting collaborations, which we're working on with them. And so they're not yet on the platform, and that is by design, frankly, because we're looking at forward-leaning dealers now that are much more in the trenches with the product development. As we mentioned before, we've now changed from the credit piece, we've changed on the accessory piece. So now is the time that we actually have a product that can be rolled out across dealers. So this is something that is now a much closer -- focus for much more of the near-term.
Unidentified Analyst: Great. Thanks guys. Good luck.
Mike Darrow: Thank you.
Operator: Thank you. This concludes our question-and-answer session. I like to turn the call back over to TrueCar President and CEO, Mike Darrow, for closing remarks.
Mike Darrow: Thanks, operator. I'd like to thank everybody for taking the time to participate in our call today. I also want to thank the entire team at TrueCar for all their hard work over the past year and as we work to execute our priorities for 2023. This is an exciting time for our company, look forward to sharing more about our progress with all of you on the next call. Thanks for joining.
Operator: Conference is now concluded. Thank you for attending today's presentation. You may now disconnect.